Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hawaiian Holdings’ third quarter 2008 earnings conference call. During today’s presentation, all parties will be in a listen-only-mode. Following the presentation, the conference will be opened for questions. (Operator instructions) This conference is being recorded today, Wednesday, October 29, 2008. I would now like to turn the conference over to Andrew Greenebaum of ICR. Please go ahead, sir.
Andrew Greenebaum: Thank you. Welcome, everyone, and thank you for joining us today to discuss Hawaiian Holdings’ third quarter 2008 financial results. On the call from the company are Mark Dunkerley, President and Chief Executive Officer; and, Peter Ingram, Chief Financial Officer. By now, everyone should have access to the press release, which went out about four o’clock Eastern Time today. If you have not received the release, it is available on the Investor Relations page of Hawaiian’s Web site. Before we begin, we’d like to remind everyone of the Safe Harbor statements under the Private Securities Litigation Reform Act of 1995. The following prepared remarks contained forward-looking statements. Management may make additional forward-looking statements in response to your questions. Statements do not guarantee performance, and therefore undue reliance should not be placed upon them. For a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements, we refer you to Hawaiian Holdings’ recent filings with the SEC, including the most recent annual report filed on Form 10-K, recent quarterly report filed on From 10-Q, as well as reports filed on Form 8-K. With that, I’d like to turn the call over to Mark.
Mark Dunkerley: Thank you, Andrew. Good afternoon. And thank you for joining us today. Well 2008 is proving to be an extraordinary year for Hawaiian, marked now by three seismic events. First, the collapse of our two primary competitors in the span of a single week in early April; second, the unprecedented escalation in crude oil and jet fuel prices in the first half of the year; and most recently, third, the unraveling of credit and equity markets. Each of these events has affected our business in a meaningful way. As I go through my prepared remarks today, I’m going to spend some time discussing what the combined impacts mean to us. And how we’re preparing ourselves to address the challenges they present and the opportunities that may arise as a result. Before discussing the outlook, however, I’m going to spend some time reviewing the financial results of the third quarter. Our strong top line performance was largely offset by the negative impact of soaring fuel expense netting to a modest increase in year-over-year operating profit. Operating income came in at $27.3 million for the quarter, a 7% increase over the prior year. Looking further down the income statement, our pretax income declined year-over-year to $14.6 million as compared to $21.8 million last year as non-operating expenses were negatively affected by mark-to-market impact related to fuel hedges purchased in a declining market. In addition, we recorded a tax provision of $8.6 million that brought the quarterly net income to $6 million. Third quarter revenue increased $67 million or 25%, compared with to the third quarter of 2007 with both Inter-island and Transpacific operations hosting substantial improvements. As many of you know by now, we embarked on a significant increase in our Inter-island operations in April following Aloha’s cessation of service. Given the lead time to acquire additional aircrafts, in the interim, we’ve increase Inter-island capacity by extending the flying day of our 717 aircraft, by operating our spare 717 aircraft some regular service, and by supplementing 717 operations with a handful of 767 roundtrips between Honolulu and Maui each day. This has allowed us to meet market demand while we complete the process of acquiring additional narrow body aircrafts and preparing them for service. As the third quarter grew to a close, we added the first of these four planned 717s to the fleet. This aircraft entered regular – the regular schedule in October. The second of this aircraft is also now been delivered. And it’s going to start in the schedule in November, with the remaining two aircrafts joining the fleet over the course of the next couple of months. With two of these aircrafts available to us as of this week, we’re now able to eliminate the 767 Inter-island operations from our schedule. This allows us to run a more efficient simplified daily operation that will serve the market in a more optimal manner for our customers. By the end of the year, we will have added a 110 Inter-island roundtrip flights per week from Honolulu to the neighbor islands. And that’s compared to our September schedule. Most importantly, the new flights will improve our competitiveness as we provide additional lift at high demand times of the day, particularly, during the morning and the afternoon. As a result of our increased schedule, Inter-island traffic grew almost 24% during the third quarter on a similar capacity increase, resulting in basically flat year-over-year load factors. Since we did not see a recurrence of the below cost pricing initiated by our competitors during 2007, our yield was substantially higher year-over-year. Combining all of these factors, our Inter-island revenue for ASM improved than 40%, relative to the depressed levels we experienced a year earlier. In total, Inter-island operations contributed just under one-third of our overall passenger revenue during the third quarter. Our Transpacific capacity was about 6% lower that the third quarter than it was in 2007. Following the commencement of our Manila service in April, we produced the availability of aircraft for our scarce operations. Our traffic in Transpacific operations declined 13%, resulting in a low factor reduction of 6.6 percentage points. At the same time, we posted yield improvement of 23%, which resulted in an overall improvement in revenue per available seat mile by Transpacific operations of about 14%. Obviously, there’re some ins and outs here that merit some further discussion. Industry capacity between the West Coast and Hawaii declined roughly 17% in the third quarter, primarily attributable to the demise of both Aloha and ATA earlier this year. At the same time, historically high fuel prices have necessitated the Hawaiian and other carriers increase prices, particularly, on long haul operations like our West Coast to Hawaii roots where fuel is a disproportionately large component of the cost structure. Coupled with these, over the last handful of years, Hawaii has experienced the multi-year period of increasing hotel costs as relatively fixed supply mixed with steadily growing demand, have created an attractive market condition for the hoteliers from 2004 through 2007. Both high fuel costs and high hotel prices have made a Hawaii vacation more expensive in the summer of 2008. As a result, demand from consumers has slipped up the demand curve. And predictably, visitor arrivals to the state have fallen. I’ll elaborate further about the fourth quarter outlook in a moment. Moving on to expenses, fuel prices remain the big story during the quarter. Ignoring for a moment that fuel hedging impacts have been reflected in non-operating expenses, our fuel cost increased $54 million or over 70% year-over-year. Although prices have declined from their most eye-watering levels over the course of the quarter, our realization of this benefit is somewhat lagged because most of our fuel supply contracts provide for pricing to be based on prior week or prior month pricing. This means that we see an average of about a three-week delay in the realization of spot market price changes. As such, our third quarter results reflect the worst of the June and July peak in spot market prices. I’d let Peter take you through our current fuel hedge position in detail, but I will just take a moment to touch upon our approach to hedging at a high level. Generally, we don’t take a view on the future direction of prices, as we don’t profess to have a better projection in the market’s forward curve. With that said, we believe that it’s prudent to average in our hedge position over time as an insurance policy against price spikes. As the market has declined over the third quarter, we booked some mark-to-market losses on out of the money hedge positions, all veered at a much more manageable level than those of some of our competitors. In total, the non-operating expense impact of our fuel hedging was $9.2 million during the third quarter. Although fuel prices are down from the historic peak we experienced a couple of moths ago, the market remains very volatile as witnessed to date, not only on a day-to-day basis, but also from hour-to-hour. While this creates a level of uncertainty around long term timing, we believe that our hedge position will help us smooth some of the volatility, and will provide us the time to respond in changing conditions. As we look beyond the third quarter, properly saying, “The future is becoming an increasing challenge in our business.” The influences on our business at the moment are fairly easy to discern, but the extent and duration of their impact remains unknown. Dealing first with the Transpacific business, the macroeconomic turmoil is clearly a negative development as we expect the housing collapse on the West Coast and the drying up of consumer credits to affect the willingness of people in our West Coast market to take a vacation to Hawaii. At the same time, there are a couple of positive developments, which we believe will offset this to some degree or other. The price of oil has wind up of late. And this is particularly helpful to our longer haul operations that consume a lot more fuel. It is also the case that falling hotel occupancy in the state is putting pricing pressure on Hawaii’s hoteliers. As we note from our own industry, such pressures could be resistant for a while, but not for long. So we expect to see the non-airline fortune of the costs of a Hawaii vacation reverse its five-year trend of escalation and start to come down. We’ve already seen an increase in discounting and promotional activity by the hoteliers. And we expect these to occur more broadly in the coming period. This will improve the value of the proposition of a Hawaii vacation, providing an offset to the adverse income effect of the current economic conditions. The pattern of Transpacific bookings has changed in the past several weeks, with close in bookings holding up better than bookings later in the winter. Even this is a generalization as there are marked differences of booking activity from week-to-week and day-to-day. So beyond the guidance for the fourth quarter that Peter is going to mention in a few minutes, we’re now prepared to suggest how we think 2009 is going to unfold. The Inter-island market exhibits quite different characteristics. We believe that travel between the islands on the state is both less price sensitive and less income sensitive than our Transpacific business. Our relative optimism about this part of our business has had to be tempered recently by the announcement of a new entrant. Mokulele airlines, which today operates a fleet of nine-seat Cessna Grand Caravans in the said secondary markets, has announced plans to begin service in some of the states larger markets with regional jets operated by mainland based regional carrier. While the details of how this is going to play out remain to be seen, in this case, the new entrant is pledging not to start a fare war. And there is also no indication that either the new entrant or Go have the financial resources to waste the kind of attritional battle that took two years to deliver the collapse of Aloha. To wrap up, we have tremendous confidence that Hawaiian, with our almost 80-year history of serving these islands and unmatched ability to connect visitors to the islands, the best and largest fleets, a superior cost structure to all of the competitors, and a tremendous group of employees providing the industry’s top operating performance, will maintain and build upon its strong market position. Entering the other level, on which the credit crisis could affect us in terms of access to capital markets. Fortunately, on those front, our progress in buttressing our balance sheet throughout 2008 means that we’re not in need of immediate access to the capital markets. We ended the quarter with $225 million in unrestricted cash and short term investments. And our primary credit facilities are in place through late 2010 and into 2011. During the third quarter, our cash position was further bolstered by the exercise of $3.55 million warrants that were issued in association with the refinancing of our term loans in 2006. I’ll defer to Peter to review the details of this transaction in a few moments. Despite the uncertain market conditions in the near term, we remain focused on our long term plans. During the last quarter, we announced plans to install winglets on a subset of our 767 fleet. Specifically, those aircraft, which we expect to have in the fleet long enough for us to realize sufficient cost savings to justify the installation expense. We expect to begin the installation in the latter part of 2009, with the process continuing until the spring of 2010. We’ve also recently signed leases with two A330s, which will enter our fleet early in 2011. As we discussed when we originally committed to the replacements of our 767s with A330s and A350s, we’ve been actively seeking opportunities to begin this process earlier than our own scheduled deliveries in 2012. With these leases, we will be able to begin introducing the A330s just over two years from now, more than a year earlier than our own delivery positions. Concurrently with these leases, we’ve extended the leases of two of our 767s until early 2011 so that we can maintain these aircraft in our fleets until they can be replaced with the new airbus units. We’ve also extended the lease of two other 767s, that otherwise would have expired in 2009 and 2010, for an additional six years. With all of the changes in our business, the one constant that has been the unparalleled contribution of the best group of employees in the airline business, as we stretched our fleet utilization well beyond the expectations we have when entering the year, we’ve known that we were putting substantial strain on the day-to-day operations. Our team has risen to this challenge and has come through it impressively by continuing to provide the industry’s best operational performance day in and day out. And while their continued excellence has become expected, this expectation doesn’t for a moment diminish my pride and appreciation for their accomplishments. To all of them, I extend my sincerest thanks. With that, I’ll turn it over to Peter to dive into the numbers in a bit more detail. Peter?
Peter Ingram: Thanks, Mark. I’ll begin my remarks by providing a bit more detail on our operating and non-operating expenses. And then spend a couple of minutes discussing our cash position and balance sheet before sharing our outlook for the fourth quarter. Our cost per ASM for the third quarter was $12.08, which represents a 25% increase year-over-year. Of course, the biggest culprit in this increase was fuel cost. Although spot crisis for crude oil and jet fuel declined over the course of the quarter, our realization of price lagged – in the spot market lagged by about three weeks on average as Mark mentioned. The truly staggering prices in the early part of the quarter meant that this period brought the brunt of the worst fuel prices we’ve seen. In total, our fuel bill increased over $54 million, consuming much of the solid revenue improvement Mark discussed earlier. Our cost per gallon increased almost 68% to $3.83 on a GAAP basis. And our economic fuel cost, which taken to account the impact of fuel hedging activity related to those contracts that we settled during the quarter. we’re about the same at $3.84 per gallon as the benefit of some of our older hedged positions, which were in the money, were offset by more recently placed hedges that settled at a net loss. We continue to make good progress on fuel consumption. And expect that the initiative that we have in the pipeline, including but not limited to, our winglet plans for the 767, will continue to accrue benefits to us. Sticking to fuel for a moment, Mark mentioned that we took a non-operating charge totaling $9.2 million in the quarter related to mark-to-market impacts on fuel hedges. As many of you know, we have not designated our hedges for hedge accounting under SFAS 133. So for GAAP purposes, we marked the position to market each month, which can lead to some significant swings in our financial results when we have markets moving as violently as they have this year. Our hedges that settled in the quarter that’s non-operating charge during the third quarter includes the difference between what was marked on our book at the end of June compared to the final settlement value. Our hedges that settled in future periods, it includes changes in the value from the June mark or from the date of entering the contract. Specifically, the $9.2 million in non-operating expenses this quarter reflects about $500,000 of expenses related to losses realized on hedges that settled in the quarter, $4.9 million in charges related to the reversal of previously booked gains on the same contract, and additional $3.8 million in unrealized losses we’ve recorded on contract that would settle in future periods. Despite these charges, we’re obviously very pleased with the direction we’ve seen in fuel prices since July. Given the severe volatility and uncertainty in the market, you will not hear us express any regret about having average gain to some of our hedged position at higher levels. Additionally, we’ve worked to structure our program in a way that provides both protection against prices moving up and participation in the benefits of a declining market. We also keep a close eye on the collateral impacts related to having a hedged position, and are comfortable that we’ve maintained these within very manageable bounds. As of the beginning of this week, we’ve ventured into hedge contracts to give us upsized protection on about 42% of our fourth quarter of 2008 consumption, and 25% of our first quarter 2009 consumption, and a total of about 10% of our full year 2009 consumption. The details of these are shown in our press release. We have continued to layer in hedges on a disciplined basis to provide the level of insurance that Mark talked about against higher prices. And it’s our intention to continue to do so. Excluding fuel, our cost per ASM increased 5.1% in the quarter, which reflect the disproportionably high increase in our short haul flying during the quarter relative to long haul flying following the failure of Aloha in April. By its nature, short haul flying can have higher RASM and higher CASM. And in our network, the differences are quite extreme. Our Inter-island routes represent a significant portion of the overall operation with 100 mile to 200-mile sectors that are unusually short relative to the broader industry. And while our Transpacific routes, which average about 2,600 miles, exceed the industry average considerably. So we really don’t have an average flight ,and when we see a ship in amidst of our flying, we can see a distortion in RASM and CASM levels from period-to-period. We estimate this impact to be about four to five percentage points of CASM, excluding fuel year-over-year in the third quarter. Some of you will recall that our ex-fuel CASM increase is three or four points better than the range we had anticipated during our last earnings call. The most significant variation from our previous expectation relates to a reduction in the value of our frequent flyer liability for two reasons. The first is a routine adjustment of the liability to reflect lower incremental costs for the fuel component of the liability. The second and larger one, totaling about $5 million, reflects the change in the value of the liability due to adjustments we announced during the quarter to award redemption levels. Touching briefly on some of the other expense lines, wages and benefits expenses increased during the quarter reflecting the expansion in our operating activities, which were focused on the more labor intensive short haul side of the business. Other rentals and landing fees also increased sharply by almost 40%, reflecting the same increase in Inter-island flying as well as higher airport rates, particularly here in the state of Hawaii. One of the challenges associated with reduced industry capacity is that airports tend to spread their cost over the remaining activity. And these increases reflect that phenomenon. I should also take a minute to elaborate on our third quarter income tax provision. Since we have a 100% valuation allowance on our deferred tax assets, our GAAP income tax provision tend to generally track our expectation of cash taxes. Through the first half of this year, we had not recorded a provision. Although we had pre-tax income during the first half, we did not project having a tax pact requirement for calendar year 2008 at that time since the combination of high fuel prices in our forecast and the availability of tax deductions from prior year carries over and accelerated depreciation was expected to fully offset those earnings. With 3Q now in the books and a better fuel outlook based on the current forward curve, we needed to book a tax provision to bring the year-to-date numbers inline with the expectations. As a result, our third quarter effective tax rate of 58% is higher than the 40% to 42% effective tax rate that we would more typically expect due to this change in estimated annual earnings. But the effective tax rate of 17.5% for the nine-month period is lower than the statutory rate as a result of some of the offsets I’ve noted. Moving on to the balance sheet, we ended the quarter with $225 million in unrestricted cash and short term investments, and another $35 million in restricted cash. Our unrestricted cash increased about $34 million compared to the end of the June quarter as a result of both cash generated from operations and a reduction in the level of cash that is restricted under our credit card processing agreements. The cash and short term investments totals that I’ve mentioned do not include the auction rate securities that we’ve talked about on the last couple of calls. These investments totaled $35.5 million at face value, and have been classified on our balance sheet as long term since the first quarter. During the quarter, we announced that under the terms of the warrants that we issued in 2006 concurrent with the renegotiation of our term loans that we would exercise our option to force the conversion of the warrants at its right price at $5 per share. As a result of this transaction, at the end of the quarter, we issued $3.55 million shares of stock and received proceeds totaling $17.8 million. The warrant holders had the option to pay the exercised price in cash or to reduce the face value of our term B debt. And based on those decisions, we received $13 million in cash and reduced the face value of the term B debt by $4.8 million. Looking forward to the fourth quarter, I’d echo Mark’s sentiment from earlier that predicting the future has become increasingly difficult. On the revenue front, we expect very strong year-over-year improvements that we have seen. And the Inter-island markets will be tempered to a degree by the additional capacity associated with our new market entrant and promotional activity as the players in the market jockey for customers. At the same time, recessionary economic conditions and uncertainty in the wake of the global credit crisis will have an impact on demand for travel to Hawaii. But at this point, we don’t have a crystal clear sense of either the degree or duration of those effects. With these factors at work, we anticipate that our improvement in fourth quarter revenue for ASM will lie in the range of 14% to 16%, which trails the levels that we delivered in the last two quarters. We expect the yield performance will remain strong, with gains in excess of 20% overall. But the load factor will be lower by 7.5 to 9.5 percentage points, offsetting some of these improvements. These numbers are predicated on capacity growth of 2.5% to 3% on an ASM basis. On the expense side of the equation, fuel prices remain high by historic standards. But relative to the outrageous levels we saw at the beginning of the second quarter, we stand to benefit from a substantial reduction in fuel costs on a sequential quarterly basis. Looking at cash and excluding fuel, we have a couple of elements of headwinds to deal with relative to 2007. First, we will again see the impact of a disproportionate increase in higher CASM short haul flying, and this impact will be slightly larger in the fourth haul quarter since the short haul flying growth is higher as we get up to steady state with the additional 717. Second, in last year’s fourth quarter, our results benefited from a handful of non-recurring adjustments that balanced in our favor to the tune of $8 million to $9 million. As a result of these impacts, we posted a declining CASM, excluding fuel in last year’s fourth quarter, of over 13%, that we know that decline needed to be put in to context. The absence of these credits in the fourth quarter of 2008 will negatively affect out year-over-year CASM comparisons. Putting all of these together, we’re currently expecting that our CASM, excluding fuel on the fourth quarter, will increase by 9% to 11%. We’re always inclined to caveat our projections with a reminder that few things are certain in our business, and I suggest to everyone that this has never been truer than it is now. With that said, we believe that Hawaiian enjoys competitive advantages over its competitors in both Inter-island and across the Pacific. We believe that both markets have good prospects over the long term, and that any short term weakness in Transpacific bookings will gave way to a strong overall market in due course. With that, I’ll turn the call over to the operator, and Mark and I will be happy to answer your questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator instructions) One moment please for our first question. And our fist question comes from the line of Bob McAdoo with Avondale Partners. Please go ahead.
Bob McAdoo – Avondale Partners: Hi, guys.
Peter Ingram: Hello.
Bob McAdoo – Avondale Partners: Can you give me an easy way to think about the fact that – if I’m reading this right, the RASM growth in the second quarter, excuse me, in this recent quarter, was less than the RASM growth in the prior – in the second quarter. Is there an easy was to think about why that happened? What was going on? I think when we’ve talked in the past that a lot of the tickets in that April, May, June quarter had already been sold when the competitors disappeared. Maybe I’m not reading this right, but it certainly looks like your RASM actually didn’t grow as much in this most recent quarter.
Mark Dunkerley: I think what happened in the third quarter relative to the second quarter is that our load factor – I don’t think it was so much a yield phenomenon as it was a load phenomenon. And as we’ve mentioned in our prepared comments just a little while ago, the combination of high fuel prices that led to high fares and high hotel costs in Hawaii had a dampening effect in the middle of the summer on overall demand that hit Hawaii. As I’ve said, looking forward, I think, both the effects of high fuel prices and the effects of high hotel prices, again, to be mitigated substantially, which is a good thing because we have to contend with the effects of the economic turmoil we see at the moment. But that the main reason why there was a difference between the second quarter and the third quarter.
Peter Ingram: And just to echo that a little, Bob. I think if you look at the yield numbers are generally better if you compare year-over-year. If you look year-over-year third quarter compared to year-over-year second quarter, you see a higher yield. And that’s reflective of the fact that we sold more of those tickets in the more recent environment. But as Mark said, that is offset on the load factor side, particularly in Transpac. And you’ll remember, in April and May on Transpac in the immediate aftermath of the shutdown, we were pretty much chalk of block full on just about every flight as people had already committed to vacations. And we’re re-accommodating at the last minute on whatever seat is available.
Bob McAdoo – Avondale Partners: Yes. Yes. I remember that now. And then the other thing, obviously, your comments about what’s going on, we’re maybe on a recession, we don’t know how deep it is, and credit markets and whatever. It sounds a lot like what everybody else has been saying as well. And I guess the question is, as you have – here we are a third of the way through the quarter. Have you actually – do you actually get a feeling that the last week or so is meaningfully different than you would have expected? Or is it really starting to fall apart? Or are new bookings continuing to come in at the kind of the rate that you would have seen two weeks, four weeks ago, or in a normal fall time? Or are you actually starting to see this? Or is it just a concern that we just don’t know what’s going to happen? How would you characterize how you’re – what’s really going on kind of since the end of the quarter?
Mark Dunkerley: I characterize it in the following sense. First of all, because we – we have two relatively distinct businesses. And I’ll talk about Transpac for a second, and then perhaps come back to talk about Inter-island. Transpac, we have customers who tend to book ahead. So we actually have a fair store of bookings that were already on the books in advance of the most recent economic turmoil. And that I think is to the good for us. What we saw over the last few weeks is hard to really characterize in terms of a trend because we have seen some quite dramatic, almost day-to-day, changes in booking activity. But if we were to discern a trend for it, I’d say the following things. Close in bookings are holding up better than bookings further out. At this point, we don’t know whether that, therefore, is self correcting, if that’s a change to the way with which people book, then we’ll just take bookings later and later and later in a cycle, or whether that is reflective of the fact that, really after the fourth quarter ,there’ll be weakness in the first quarter. We’ve got quite a lot of bookings already on the books for the fourth quarter. And we’re seeing less of an impact in close in bookings than we’re seeing in further out bookings. And then of course, I’ve just – to repeat that caveat for the last time, which is, we have seen some quite large changes day-to-day and week-to-week, and it’s not been an entirely straight line trend sense. My hope is, and to some degree my belief is, that people – that consumer confidence will start to return once people perceive that sort of rock bottom has been hit in terms of turmoil in the market in the sense of their own – their own financial resources. But at this point, kind of my private speculation as opposed to a really informed judgment. Turning to Inter-island, it has very different characteristics. It tends to book close in always. The nature of our business is even more than business travel – on the mainland. It’s a business that relies very heavily on people who must travel for a variety of reasons. You’ve heard me mention before, some of the examples I gave, we carry a lot of patients for treatment for example. That’s sort of traffic that we’d expect to hold up very well even in a difficult climate. And it is also a market that’s just not (inaudible) for stimulation, which suggests that it has a lot of price elapses due to demand. So I think we look at our Transpac business that is out to be a business that is going to be sensitive to economic activity. And our Inter-island business is going to be less sensitive than the average.
Bob McAdoo – Avondale Partners: And kind of one final thing, the strengthening of the dollar and relative to the further out on the Pacific destinations that you go to, the Australia and the – does the Philippines use the dollar or they have their own currency?
Mark Dunkerley: They have their own currency. Australia and the Philippines are two very, very different types of markets. Australia is mainly visiting Hawaii for vacation purposes. The move of the US dollar against the Australian dollar will make, all other things being equal, the US more expensive than it was a few months ago. We haven’t seen anything show up yet in booking figures. But I’m going to say, obviously, what’s happened in global financial terms is pretty new. So when I say we haven’t seen anything yet, we’re very much in a wait and see mode. When you look at Manila, it’s a very different type of traffic. It is traffic that is predominantly US point of sale. It is traffic from people who are less likely to be exposed to the credit market than most Americans are. And again, we’re seeing – we’re not seeing any sort of dramatic change in bookings to the Philippines.
Bob McAdoo – Avondale Partners: The Philippines, the average Filipino customer is a business customer or is a person going to see relatives and ancestors, and whatever who are still in the Philippines?
Mark Dunkerley: It’s predominantly visiting friends and relatives, as you say, VFR.
Bob McAdoo – Avondale Partners: Yes. And that business is holding up and developing as you kind of had hoped it would?
Mark Dunkerley: Yes. Whenever you inaugurate a new service of this nature, a business like ours, payback is several years away. And we’ve only been at it for six months. So we’re not–
Bob McAdoo – Avondale Partners: Yes. Have you given any thought to reducing for one round trip a week out of that market or anything?
Mark Dunkerley: We have not. The peak period of travel for this market is the end of the fourth quarter, beginning of the first quarter. I think as we would always do, we want to get through a year of operations, see what lessons we’ve learned.
Bob McAdoo – Avondale Partners: Yes.
Mark Dunkerley: Let’s have a look and see what we’re good for.
Bob McAdoo – Avondale Partners: Okay. That’s just what I got. Thanks a lot.
Mark Dunkerley: Okay. Thanks, Bob.
Operator: Thank you. And our next question comes from the line of Kim Suther [ph] with Imperial Capital. Please go ahead.
Kim Suther – Imperial Capital: Thank you. Good afternoon.
Mark Dunkerley: Hi. How are you?
Kim Suther – Imperial Capital: I’m doing well. On the last call, you mentioned you’re implementing several new ancillary revenue initiatives for travel beginning after October 1. Would you refresh the status and take rate?
Mark Dunkerley: Sure. The big one is the charge for baggage that went in October 1. We are collecting revenues from that. We are looking at our processes to make sure that they are efficient and effective. That we catch in the net, everybody who should be paying the fee. But we’re not catching in the net those who, by policy, we’ve determined not to charge. And of course, very, very importantly, trying to keep the airport check in process efficient and effective so that we’re not shooting ourselves in the foot. That’s going fine. I wouldn’t describe it yet as being in its final state. It’ll take a little while for us to get there. Other ancillary revenue ideas include the selling of some tourism related activities. On Awahu, we have a trial going with the vendor at the moment. We are picking up lessons from that trial. And I think we’re going to be moving more dramatically in that direction probably in the coming year. We’ve also introduced, through our Web site, some follow on sales opportunities. The most sort of iconic one, of which is a lay greeting here in Hawaii, which is selling extremely well actually, perhaps, a little surprisingly so. I would say that this, at this stage, is small bear compared to our main business. But if you want it to be big, you’ve got to start small and grow.
Kim Suther – Imperial Capital: Okay. All right. Thank you. Now, you mentioned the new entrant to the Inter-island market. I was wondering if you could discuss how competition is behaving on the Transpac. I guess, more specifically, over the past few weeks, I heard an announcement that West Jet was entering, if I recall, (inaudible) to partner with Southwest at some point next year. Any additional color on that would be great.
Mark Dunkerley: West Jet has entered – has increased the amount of flying they’re doing from Canada to the United States. They’re a Canadian airline. They don’t have the right to fly domestically in the United States. And because we don’t fly to Canada, we don’t think there’s going to be much of any of a direct impact. I think most airlines with whom we compete directly are basically in the same situation that we’re in, which is – I think we’re all wearily watching to see how demand manifests itself when people finally turn off the TV and stop watching the stock market and start thinking about the rest of their lives. So we have not seen any discounting yet from – either from us or from the other carriers, no sort of wholesale discounting. I think everybody is pretty much sitting on their hands waiting to see how the market develops. And it is still very, very fresh. We have tried to come in a bit earlier. We see some days that – where bookings have been quite strong, and other days where they’re quite weak, with no apparent linkage between those experiences.
Kim Suther – Imperial Capital: Great. Thank you. And finally, if I could have one more, if you could provide a quick update on what’s been going on with the pilot labor negotiations?
Mark Dunkerley: Sure. We are in negotiations with our pilots. The contract has been amendable for a period of time, a year or so. We have sat with pilots and tried to negotiate new contract terms with them. At their request, we’ve jointly applied for mediation, and that is – that stopped a legal process. That process, I think, will get under way now in the third week of December of this year. And we certainly intend to keep at it with our pilots and progress things, and hopefully reach an agreement that suits our needs and suits theirs as well. It’s obviously an environment that’s changing pretty quickly. And I think it’s recently likely that, in general, labor relations in our industry are going to have to take stock of the new circumstances and what it means for our businesses.
Kim Suther – Imperial Capital: Great. Thank you so much.
Operator: Thank you. (Operator instructions) And our next question comes from the line of Steve O’Hara with Sidoti & Company. Please go ahead.
Steve O’Hara – Sidoti & Company: Hi, guys. I just have a question about the maintenance expense, which was down sequentially. And I’m just wondering if there’s any major repair or put off or not on this quarter versus last quarter.
Peter Ingram: Yes. Steve, this is Peter. I think that it’s mainly a function. We’ve got a number of things that are pretty formulaic in our maintenance expense, the power by the hour of charges on engine maintenance. What can move around from quarter to quarter are really two things of a material nature. One is the timing of heavy maintenance events. And given the nature of what we do, because the third quarter is a peak time for travel, we try and schedule our heavy maintenance events so that we don’t have airplanes in the barn during the third quarter. We have them out flying with customers if we can do that. So I think quarter-over-quarter, you’ll probably see fewer heavy checks. I think in the second quarter, if I recall correctly, we also had a maintenance event on an engine – it’s a scheduled maintenance event that was not covered by our power by the hour deal. And that drove up the expense in that time period. So there’s nothing really out of the ordinary. There’re just some of these things based on how we book it on as an incurred basis, that they hit you when they hit you, and when they don’t you have nothing.
Steve O’Hara – Sidoti & Company: Okay. And the other question is about the commission and other selling expenses. If you’re correct for, let’s say, the $3.7 million in the frequent flyer accounting. And then assuming you do that in the second quarter as well, I assume there will be commensurate bump with fuel going up in the second quarter. I mean, is that kind of basically the same kind of run rate quarter-over-quarter?
Peter Ingram: Generally, as I mentioned earlier, there’s about $5 million good guidance in this quarter on that line related to the adjustment through our frequent flyer liability. And there’s another, probably, $1 million or so that is the reduction in that liability because there’s a fuel cost component, and we trued that up at the end of the quarter to where fuel costs are. So that’s about – offsetting that, we had increases in things like credit card fees because of higher bookings activity, increase in bookings fees, increase in commissions, all the revenue related lines that you would expect to go up. So if you normalize for those two accounting items related to the frequent flyer miles, you will get an increase in run rate that is reflective of a growing revenue environment.
Steve O’Hara – Sidoti & Company: Thank you very much.
Operator: Thank you. (Operator instructions) One moment please. Okay. And at this time, I see no further questions in the queue. I’d like to turn the call back over to Mark Dunkerley. Please go ahead.
Mark Dunkerley: Okay. Thank you all for participating in the call today. I particularly thank those of you who asked some questions. We look forward to updating you on our financial results as we get through the fourth quarter year-end, and then to 2009, which just like 2008, promises to be a most interesting year. So thank you all for taking the time. Bye, bye.